Operator: Thank you for standing by, ladies and gentlemen, and welcome to Coca-Cola HBC's conference call for the 2025 full year results. We have with us Zoran Bogdanovic, Chief Executive Officer; Anastasis Stamoulis, Chief Financial Officer; and Jemima Benstead, Head of Investor Relations. [Operator Instructions] I must also advise that this conference is being recorded today, 10th of February 2026. I now pass the floor to one of your speakers, Jemima. Please go ahead. Thank you.
Jemima Benstead: Good morning, and thank you all for joining the call. I'm here with our CEO, Zoran Bogdanovic; and our CFO, Anastasis Stamoulis. In a moment, Zoran will share the key highlights of 2025. Anastasis will then take you through our financial performance in more detail and discuss the outlook for 2026 before handing back to Zoran, who will discuss the strategic growth areas for the business. We will then open up the floor to questions. We have about an hour for the call today, which should give plenty of time for a good discussion. So please keep to 1 question and 1 follow-up, waiting for us to answer the first question before moving to your follow-up. Finally, I must remind you that this conference call contains various forward-looking statements. These should be considered in conjunction with the cautionary statements in our results press release this morning and at the end of our slide deck. And with that, I will turn the call over to Zoran.
Zoran Bogdanovic: Thank you, Jemima. Good morning, everyone, and thank you for joining the call. 2025 was another strong year for Coca-Cola HBC. We've executed against our strategy and delivered a strong financial performance, all while operating through a mixed market environment and continuing to invest across the business for the long term. Let me call out key highlights from the year. 2025 marks the fifth year of consistent strong growth and share gains. Both our revenue and EBIT growth was strong and high quality, underpinned by continued volume momentum despite a range of macroeconomic conditions. Importantly, volume growth continues to be led by 2 of our strategic priority categories, Sparkling and Energy. And we continue to win in the market and deliver value to our customers gaining a further 80 basis points of value share in non-alcohol ready-to-drink in 2025. We also remain committed to investing in the business to unlock long-term growth. Throughout the year, we continued to invest in our 24/7 portfolio, in our bespoke capabilities, in our people and in sustainability, which we truly view as a growth enabler. In the year, we made further good progress in our most material areas: packaging, climate and water. And last, but certainly not least, in October, we took a significant step forward in our growth journey with the agreement to acquire Coca-Cola Beverages Africa, or CCBA. Disciplined execution of our strategy enabled another year of strong financial performance. Let me share the key highlights before Anastasis goes into more detail shortly. Revenue grew by 8.1% on an organic basis with volume growth of 2.8%. Comparable EBIT was nearly EUR 1.4 billion, up 11.5% organically. We also delivered 60 basis points of EBIT margin improvement leading to strong comparable EPS growth of nearly 20%. Finally, we achieved free cash flow of EUR 700 million, drove a further increase in return on invested capital and increased our dividend. As you know, in October, we announced the acquisition of Coca-Cola Beverages Africa, the largest Coca-Cola bottler in Africa. This acquisition presents a highly compelling strategic rationale, which at its core is about growth. The acquisition materially enhances our presence in Africa by bringing together 2 leading bottlers in the continent with strong track records of growth and deep commitments to investing in talent and local communities. Together, we will represent 2/3 of Africa's total Coca-Cola system volume. This combination further diversifies our geographic footprint, increasing our exposure to high-growth markets with compelling demographics, including sizable and growing populations and economies with significant potential to increase per capita consumption. The acquisition is consistent with the pillars of our growth strategy and vision of being the leading 24/7 beverage partner. CCBA is the leading player in NARTD across its markets with a winning portfolio of over 40 global and local brands, further strengthening our exceptional portfolio. We also see a clear opportunity to leverage our strength of operating in dynamic emerging markets, we can share best practices, apply our best-in-class bespoke capabilities and invest further in CCBA to drive growth. Finally, we expect the acquisition to enhance value for all stakeholders. For shareholders, it is expected to be low single-digit EPS accretive in the first full year following completion, with a clear prospect of creating more shareholder value over the long term. In terms of progress towards completion, let me outline where we are. On the 19th of January this year, we received approval from Coca-Cola HBC shareholders of the resolutions put forward at the extraordinary general meeting. Our teams continue to work through the customary regulatory filings and anti-trust approvals and preparations for the secondary listing of our shares on the Johannesburg Stock Exchange. Overall, we remain on track to complete the acquisition by the end of 2026 and are working on integration plans so we can hit the ground running. We look forward to sharing more details on the opportunities ahead for the combined group post completion. Sustainability remains at the core of our strategy, enabling us to deliver growth while creating value for the communities we serve, our partners and the environment. In 2025, we saw further recognition of our progress, placing us among the leaders of the global beverage industry with top scores across major benchmarks. Let me share a couple of highlights from 2025. We advanced our circular packaging agenda with the launch of a new collection hub in Nigeria and the expansion of deposit return systems to Austria and Poland. Recently launched systems in Romania, Hungary and Austria achieved average return rate of over 80% in 2025. Partnerships continue to be a key driver of progress. As I mentioned last summer, together with Carrefour and the Coca-Cola Company, we initiated a sustainable linked business plan with Romania piloting a program that unites suppliers to cut emissions and improve packaging sustainability. Supporting communities remains a central priority. In 2025, Europe faced severe wildfires and floods. And I'm proud that the Coca-Cola HBC Foundation was able to commit EUR 2.3 million in disaster relief. The group also announced an additional $5 million for the foundation to support communities starting from 2026. Overall, we've made strong progress towards our Mission 2025 goals with many targets reached ahead of schedule. Full results will be published in our 2025 integrated annual report in March along with details on the next phase of our sustainability journey. With that, let me hand over to Anastasis to take you through the financial results of the year in more detail.
Anastasis Stamoulis: Thank you, Zoran, and good morning, everyone. So let me start with the strong top line performance. 2025 organic revenue growth was 8.1%. We delivered another year of good volume growth, up 2.8%, driven primarily by sparkling and Energy as Zoran has mentioned. I am pleased that all 3 segments achieved volume growth or maintained volumes despite an ongoing challenging backdrop. Organic revenue per case increased by 5.1% and normalization versus previous years as we expected. We continue to implement targeted revenue growth management initiatives while navigating lower levels of inflation across most markets. Overall, pricing remained the largest driver of revenue per case. However, category mix and package mix were also positive, with continued improvement in single-serve mix, which expanded by 130 basis points in the year and is now 310 basis points higher on a 3-year basis. We achieved another year of double-digit organic EBIT growth with comparable EBIT growing 11.5% to nearly EUR 1.4 billion. Our comparable EBIT margin increased 60 basis points on a reported basis to 11.7% and 40 basis points organically. This marks a record high EBIT margin for our company, which is great to see, having navigated several years of inflation and currency pressures. Let me break down the drivers of this. We improved gross profit margins by 70 basis points with good topline leverage. Operating costs overall stepped up by 10 basis points in the year. However, breaking this down a bit further, operating expenses, excluding direct marketing, improved by 30 basis points as a percent of revenue. You may recall that in 2024, we faced headwinds in our operating expense line due to currency devaluation in Egypt, which we cycled this year. However, offsetting this, direct marketing expenses stepped up by 40 basis points as a percent of revenue as we invested in activations across categories, but notably the Share a Coke campaign, the Winter Olympics and the new Finlandia marketing campaign. Let me now look to the drivers of performance by segment. I'm going to discuss these figures on an organic basis. In the Established segment, revenues grew by 2.3%. Volume was in line with last year, reflecting mixed trends across markets. Sparkling volumes were slightly ahead of last year with high single-digit growth in Coke Zero and mid-single-digit growth in Sprite. Energy continued to grow strongly, up high teens, still declined low single digits, although we delivered mid-single-digit growth in Sports Drinks. On a country basis, volumes in Italy were slightly positive despite our decision to prioritize profitable revenue growth in water in the second half of the year. Excluding water, volumes in Italy grew low single digits. In Ireland, volumes grew low single digits with consistent growth throughout the year, whereas in Austria, volumes declined in a more challenging environment. Established revenue per case was up 2.3%, driven by pricing as well as positive package and category mix. Established segment comparable EBIT declined 2.8%, primarily due to a step-up in investments, as previously noted. Turning to the Developing segment. Revenues were up 6.1%. Volumes grew 0.8% with Sparkling volumes slightly higher than last year, driven by Coke Zero and Sprite. Energy saw accelerating momentum with strong double-digit growth. Stills declined high single digits, driven by water and juices despite strong double-digit growth in Sports Drinks. In terms of country performance, the Czech Republic was a standout performer, growing volumes mid-single digits despite a tough comparative. In Poland, volumes declined for the year, though we saw an improvement in the second half of the year. Developing revenue per case increased by 5.3%, driven by pricing actions taken to manage inflation supported by a favorable category and package mix. Comparable EBIT increased by 5.6% year-on-year with EBIT margin in line with the previous year. In the Emerging segment, revenue grew by 13.2%, driven by both volume and good price mix. Emerging markets, volume grew 4.4%. Sparkling volumes increased by mid-single digits with mid-single-digit growth in Trademark Coke, Sprite and Adult Sparkling. Energy grew strongly despite cycling tough comparatives driven by affordable brands. Stills volumes grew low single digits, led by water and further supported by very strong growth in Sports Drinks on a small base. At a country level, the performances of both Nigeria and Egypt have been very strong despite external challenges with volumes growing mid-single digit and low teens, respectively. Emerging segment revenue per case increased 8.5% and moderation compared to previous years, reflecting lower levels of inflation and currency headwinds for Nigeria and Egypt. We benefited from pricing actions as well as from positive category mix. Comparable EBIT grew 23.2%, a strong rebound due to organic growth as well as cycling the impact of the foreign currency remeasurement in Egypt last year. Moving back to the group P&L. We saw comparable earnings per share grew 19.7% to EUR 2.72. This was supported by the strong EBIT delivery, lower net finance cost than previous year. As mentioned at the first half results, we have seen lower than usual finance cost this year due to several factors. We benefited from lower foreign exchange losses compared to 2024 due to greater currency stability as well as higher finance income in the year. As you will have seen from the guidance, we do expect a more normalized finance cost environment in 2026. As expected, our comparable tax rate of 27.1% was in line with our guidance range. Our return on invested capital expanded by 100 basis points to 19.4%, driven by higher profit. We have seen very good improvement in ROIC over the last 5 years, and it remains a very important metric for us. CapEx increased EUR 148 million in the year to EUR 828 million, in line with our plans, as we continue to invest in future growth initiatives, such as production capacity, ongoing automation and supply chain, digital and data solutions and energy-efficient coolers. CapEx as a percent of revenue was 7.1%, up 80 basis points year-on-year, but well within our target range of 6.5% to 7.5%. We delivered free cash flow of EUR 700 million. I'm really pleased that even in a year where CapEx stepped up materially, we have still delivered robust free cash flow. Our balance sheet remains very strong, and we closed the year with net debt to comparable EBITDA at 0.7x. Clearly, this will increase, as we complete the acquisition of CCBA. However, we expect leverage post completion to remain within our medium-term target range of 1.5 to 2x. Importantly, we do not expect any impact to our credit rating, and we have a strong commitment to sustainably maintaining an investment-grade profile. Leveraging this strong balance sheet, we have a robust and disciplined capital allocation framework, which remains unchanged. Our top priority is investing in the business organically to drive long-term growth for the company. We pursue a progressive dividend policy and target a 40% to 50% payout ratio. With another year of strong growth in comparable earnings per share, we are recommending a dividend per share of EUR 1.20, an increase of 17% from 2024. When it comes to strategic M&A, as you know, in 2025, we announced the milestone acquisition of CCBA. The strategic expansion into African markets underpins our focus on driving long-term growth and will enhance value for shareholders. We expect low single-digit EPS accretion in the first full year following completion and more shareholder value in the long term. Overall, when it comes to our capital allocation in 2025, I'm really pleased that we have delivered a combination of investment in the business, a value-enhancing acquisition, increased shareholder returns as well as a strong improvement in ROIC. As we look to the rest of 2026, we expect the macroeconomic and geopolitical backdrop to remain challenging with a mixed consumer environment across our markets. However, we have high confidence in our 24/7 portfolio, our bespoke capabilities, the growth opportunities across our diverse markets and most of all in our people. In 2026, we expect to make further progress against our medium-term growth targets with organic revenue growth in our medium-term range of 6% to 7% and organic EBIT growth in the range of 7% to 10%. Thank you for the attention. Let me pass the call back to Zoran.
Zoran Bogdanovic: Thanks, Anastasis. Well, we are proud of our achievements in 2025. We are really proud of the consistency of that performance over many years now. We have now had 20 consecutive quarters of organic revenue growth despite many challenges along the way. If we look back over the last 5 years, we can see that our growth algorithm is working. We have delivered average organic volume growth of nearly 4%, a revenue growth of 15% and EBIT growth of 14%. Our diversified country footprint, unique 24/7 brand portfolio, bespoke 4 capabilities and strength of our people have driven that consistent growth. What we've learned across many years operating in a range of markets and conditions is that there is no one size fits all approach. We strike a careful balance to focus on what makes the local market unique, staying relevant and tailoring our approach while aligning with the group strategy, leveraging our global scale, tools and capabilities, particularly with digital and data insights to drive personalized execution. It truly demonstrates the resilience of our business through a range of different macro and consumer backdrops and our ability to deliver results at the group level. This gives me the confidence that we can continue to navigate unpredictable environment going forward and underpins our guidance for 2026 as Anastasis set out. Let me now take you through some of our biggest potential opportunities across our business for 2026 and beyond. Sparkling continues to be the core driver of our growth, contributing 2/3 of our group revenue. In 2025, we delivered organic volume growth of 2.5%. Coke Zero continued to perform strongly, growing low double digits and Coca-Cola 0.0 grew high teens. Together with the Coca-Cola Company, we executed locally tailored activations at key moments across the year, leveraging relevant passion points and consumption occasions. In 2025, we also rolled out the Share a Coke campaign with local programs and initiatives tailored to our markets. We successfully executed customer and consumer activations across channels to drive transaction and further strengthen brand equity. We are pleased with the campaign's performance and the positive engagement it generated. We also accelerated growth in Sprite with volumes up mid-single digits, as we continued focusing on the Spicy Meals occasion, and we activated the Turn Up Refreshment campaign over the summer. Adult Sparkling grew mid-single digits in 2025 with a strong performance from Schweppes in our African markets. We introduced new flavors, and the Flavour of the Quarter activation with promising initial results and plan to roll this out further in 2026. We also continued to roll out Three Cents, our premium mixer brand into more countries. In 2026, we will continue capitalizing on key occasions to create memorable consumption moments, including the Winter Olympics, which just kicked off last week and the upcoming FIFA World Cup. Energy continued its strong growth trajectory. Volume grew by 28% against tough comparatives, making 2025 the tenth consecutive year of double-digit growth. We also hit a milestone surpassing EUR 1 billion of revenue for the first time with a category now accounting for 9% of our group revenue. All segments contributed to growth, reflecting the strength of our diversified portfolio, which enables us to address varied market demographics and affordability needs. In Established and Developing, growth was driven by Monster supported by successful innovations such as Rio Punch and the launch of a new Monster drink with Lando Norris. Predator and Fury, our affordable offers in Africa, grew over 40%, supported by football partnerships and marketing activations that truly resonate with local consumers. We are confident we can continue to drive a strong performance in Energy and expect the category to reach a double-digit percentage of our revenues very soon. The category continues to see broad-based consumer demand, and we are excited for another year of innovation and planned partnerships, which we will complement by adding more dedicated coolers across our markets. Moving on to Coffee. At the start to 2025, we announced we had made a strategic decision with our partners at Costa Coffee to prioritize the out-of-home channel because that is where we see the greatest potential for sustainable, profitable growth. I'm pleased to see that this decision is delivering results. We are seeing strong growth in the out-of-home channel, driven by both Costa and Caffe Vergnano with volumes up 26.5%. This has been driven by growth in our existing outlets as well as recruiting new high-quality outlets. We remain very positive about the growth potential for our Coffee business. It plays a critical role within our 24/7 portfolio and helps us build stronger customer relationships in the hotels, restaurants and cafes channels. We are building a strong, credible business with unique capabilities and meaningful competitive advantages. In Stills, volumes declined by 1% as growth in Water and Sports Drinks was offset by juices and Ready-To-Drink tea, where we faced a more challenging market environment. Water volumes grew low single digits, and we remain focused on profitable revenue growth, prioritizing premium waters. Sports Drinks continued its strong momentum with volumes growing low double digits. We launched new flavors of Powerade and leveraged local sports partnerships as well as football activations featuring global ambassadors to drive transactions. In 2025, we also launched Powerade in Romania. Premium Spirits volumes grew by 12.2% with double-digit growth across all 3 segments and strong growth of Finlandia Vodka, our own brand. The new Finlandia campaign we launched in April 2025 has been positively received, contributing to increased brand awareness and share gains in key markets. Our distribution partnerships with Brown-Forman, Bacardi and Edrington also contributed to growth. In our Snacks business, 2025 marked the return to full operations of our Bambi plant following the fire in 2024. In October, we also launched Bambi snacks in Nigeria, our first entry into the African continent in this category. We implemented a bespoke plan tailored to the local market and are pleased with the early feedback. Investing in our bespoke capabilities is critical to drive best-in-class growth and allows us to continue to gain share. I want to call out the specific examples of progress in 2025. Revenue growth management is one of our core capabilities to drive profitable revenue growth. Affordability remained important in 2025, and we increased our focus on entry and smaller packs. Premiumization remains relevant for a large segment of the population, and we focused on expanding multipacks of single serves as well as driving mini-cans in relevant markets. We also continue to leverage our advanced promotion analytics tools, which led us assess the effectiveness of each promotion and make a quicker in-market decisions to drive more value for us and our customers. Within data, insights and AI, we continued to leverage AI capabilities. Two great examples include our Ignite Naija initiative, where jointly with Coca-Cola Company, we are linking consumer and customer data in Nigeria, which Naya and the Nigerian team shared with you at our Bitesize event last year. Early results indicate that this more sophisticated segmentation approach is translating into higher volume and revenue per case. We also expanded our segmented execution approach to wholesalers, leveraging shared data and outlet intelligence to provide our wholesale partners in Italy with tailored recommendations relevant to the outlets they serve. In 2026, we will continue to implement more advanced segmented execution across our markets, enhanced by AI and more -- most importantly, tailored to the local market dynamics. We are increasingly digitizing our route to market. Our dynamic routing tool, which reduced its travel time by 15% is live in 22 markets, freeing up more time for face-to-face customer engagement. We also increased placement of our Always-On connected coolers by 20%. These integrated coolers continuously send data and analytics to our systems, giving our teams immediate insights to improve in-store execution and cooler profitability. Another example is our AI-enabled logistics project, which helps reduce out of stocks by generating automated data-driven fulfillment recommendations. We launched it in Poland in 2025 and have already seen efficiency gains, and plan to scale these to more markets in '26. At the half year results, I shared with you about our digital transformation and how we've been investing in our digital commerce platforms to serve our customers and consumers who shop online. We are live with Customer Portal, our largest B2B platform, in 22 markets now. Partnering with our customers to drive value underpins everything we do at Coca-Cola HBC. In 2025, our Net Promoter Score increased to 78%, partially reflecting an increase in the number of resolved customer issues within 48 hours to 99%. This disciplined focus helped underpin a sixth year of market share gains in NARTD. Finally, we couldn't do any of this without talented people. Our latest employee survey results showed overall engagement remained strong at 88%, which reaffirms the strength of our culture and the ongoing focus on high performance, learning and development. In 2025, we scaled the Metaverse learning environment to accelerate capability building for sales teams and improve in-store execution. This is now live in 7 markets with further markets planned for 2026. To conclude, I'd like to reiterate the key messages I started with. We've had a strong 2025, the fifth year of consistent delivery with further strategic and operational progress and financial results. We've seen another year of growth in volumes, sales, EBIT, EPS and market share. Investing for the future remains critical. And in 2025, we invested across our portfolio, capabilities, people and sustainability initiatives. Finally, we are very excited about the acquisition of CCBA, a great business with strong brands and the leading market presence across Africa. We have great confidence in the opportunity ahead of us to drive sustainable, profitable growth. And before I close, I would like to sincerely thank all our colleagues, customers, suppliers and partners for their ongoing efforts and support. Thank you for your attention. And with that, let us now open the call up to questions.
Operator: [Operator Instructions] We will now take the first question from the line of Sanjeet Aujla from UBS.
Sanjeet Aujla: A couple for me, please. I'd like to dig a little bit deeper into Egypt. By my math, your volumes in Q4 are up around in the low mid-20% range. Can you just talk us through what's really driving that? I appreciate you're lapping some of the impact, but really keen to understand a little bit the impact of your commercial execution there and where your market share is now versus prior to the transaction. That's my first question. My follow-up is around Established. You've had 2 years of flattish volume growth in Established. How you -- what's embedded in your outlook for 2026? Do you think volumes can get back to growth? And ultimately what's driving that?
Zoran Bogdanovic: Sanjeet, so on Egypt, really, really pleased with that -- with performance that came last year. First of all, just to say that we've seen in Africa, both in Egypt and Nigeria, more stable backdrop and environment. And that really then sets the good platform, where everything that we do there can be more visible. Coming back to Egypt, what we've seen last year and then Q4 is just part of that is a result of us investing in a committed and disciplined way even while we were facing very strong headwinds over the last several years. Because we were focused from the moment we started 4 years ago to work on the enhancement of our portfolio and then investing in capabilities in a very fast way, leveraging data insights to better inform revenue growth management, route to market changes and enhancements, we've done a very wide investment into upskilling of people in sales and commercial capabilities. We have changed and improved commercial policies with the way how we work with wholesalers. We have introduced new capacity, which enabled us to fulfill anticipated growing demand that we believe will come and brought new can line. We are just opening another line in like Alexandria. And then, not to forget something that's super important, Coca-Cola Company has really created some and done very strong locally relevant marketing programs in the areas that truly matter to Egyptian consumers. Those relate to music with the outstanding activation and partnership that works extremely well, driving transactions. Also football, which is a big passion point in Egypt with a partnership with a club that has the, by far, largest fan base and also more focus on behind meals. You know that Egypt is the largest country globally in terms of the Schweppes business, by far, largest in Hellenic. And that's a phenomenal business, which worked so well last year with very intentional programs being -- with which the portfolio was supported. We introduced energy with 2 brands, Monster and Fury, and that also proved to be working really well, tapping into passion points. And all that, again, gets delivered through our evolved and more developed route to market, where we are fully scaling the market, segmenting it and really adjusting how we serve the market from at-home customers as well as to out-of-home customers. So all these blended together is coming very nicely and resulting in a very strong performance. Yes, in fairness, we also know that we had lower comps, easier comps to cycle. But I think that this performance demonstrates as a good testament to the quality of work that we are doing, not for 1 year, but for many years to come, and I'm confident that Egypt is going to have another strong year in 2026. Moving on to Established. With a stable volume performance that we saw last year, we are pleased with that performance as this happened in spite of a few challenges. We've seen a couple of countries really making good performance across the year. But I will start with Italy, which finished on moderately positive volume performance, which for us was really important. And we did say that Italy will be positive in 2025. If you deduct Water, which we intentionally play in -- with selective part of customers and markets, our performance there was on a low single digit. Very encouraging to see sparkling performance of 2.2%, a strong performance of Zeros, excellent performance of new Zero Sugar Zero Caffeine, about which we have very high hopes how it will perform, not only in Italy, but much broader, and then continued strong performance also of Energy. All that resulting in a strong continued market share gains. So then, we had a consistent performance in Ireland. We've seen a good performance in Greece in the second part of the year, as well as in Switzerland, where we didn't have the best entry into the summer in terms of the weather. And also, we had, like many other CPG players, specific situation related to retail negotiations. And once this was successfully resolved in a win-win way, we have resumed full performance with full listings. And that's why we are very pleased with the second half performance in Switzerland. One country that consistently has been on a softer side is Austria, where industry also is in decline. We do see lower consumer sentiment, which is below the EU average, but in that circumstances, we see that our team has been gaining share there and has been doing some quality work, which is also reflected in single-serve growth. So to wrap up, Established, we believe that this performance in '25 present a good base, and we do expect that we will see improvement in that segment in 2026.
Operator: We will now take the next question from the line of Andrea Pistacchi from Bank of America.
Andrea Pistacchi: I want to follow up on established and -- on Established markets, mainly both with the first question and the follow-up. So affordability and consumer sensitivity has been a bit of a headwind in a few of your Established and Developed markets. You just mentioned Austria, I think even Romania and Switzerland. Are you seeing any signs of these pressures easing as we go into 2026? And how are you thinking about pricing and revenue management this year, specifically in these markets? And the follow-up question is on EBIT in Established. So at group level, you've delivered very strong EBIT, again, mainly driven by Emerging, but EBIT declined a little, I think, in Established markets as you reinvested in the business. Last year, EBIT was flat. So the question is how -- going forward, how are you thinking about balancing reinvestment versus EBIT growth in Established markets? Would you expect profit in Established? Can it return to growth? Are there opportunities for incremental maybe cost savings in Established?
Zoran Bogdanovic: Good morning, Andrea. So I'll start, and then, I'll hand over to Anastasis for your second part of the question. So in Established, firstly, it's not one size fits all. It really varies. And we monitor and measure price sentiment and sensitivity in every single country, also dynamics with a certain level of private labels that can exist across the market. Even though I have to say that in Sparkling and in Energy, this is where private labels have the smallest share. And even in Sparkling, the private label share is in decline. However, there are a few markets, and you mentioned Romania, even though it's not in the Established, either country where we have seen somewhat better performance of the -- of private label. All of this gets this input into the overall revenue growth management framework, which then on a country level is being designed and which then produces tailored specific things for affordability initiatives as well as premiumization initiatives in every of these markets. So somehow with our reading, we do see an opportunity for positive improvements in 2026. And second part of the year in those markets have given us that time, and I have to also acknowledge that for Established as well as for all other countries, we have prepared very strong plans with additional investments behind many of the strong programs that are coming up in this year. Summer for us always is the biggest program we have. But also, there is a FIFA World Cup. There are many innovations that are coming up, and we see that being very relevant in the Established segment. And I reiterate that we are positive that we will make an improvement in the Established segment in '26. Anastasis?
Anastasis Stamoulis: Yes. Thank you, Zoran. Yes, actually, to build on Zoran's point, for 2025, we saw a resilient top line performance with a revenue growth of 2.3%. Let me share a little bit more detail because you touched the profitability of the Established. Actually, the gross profit margin grew in the Established market, but as you rightfully pointed out, you saw pressure on the EBIT margin, which was mainly impacted by a targeted decision to step up our investments in the market, a joint decision with the Coca-Cola Company to accelerate further growth in the segment, and I can go over the big activations of the year, but predominantly it was a Share a Coke campaign with the investment ahead of the Winter Olympics in Italy, which is undergoing now as well. And also cycling extra investments in our people when it comes to field force execution in the market. So with that in mind, we are very pleased to see that actually, our investment strategy has been paying off. In Italy, as Zoran pointed out, we had a low single-digit volume growth in Sparkling and strong double-digit growth in Energy and share gains in both Sparkling NRTD and Energy. And similar market was Ireland with continued volume growth and share gains across. So if we look into 2026, what I can say is that we will continue to step up our investments in the market. Zoran already mentioned the FIFA World Cup, we have the Winter Olympics ongoing. We have also step up in the overall Finlandia Investment. But we do expect that all this will translate to positive volume growth that will also flow down the P&L with profitable growth and also margin expansion.
Operator: We will now take the next question from the line of Aron Adamski from Goldman Sachs.
Aron Adamski: Congrats on the results. I have 2 questions. First one is on your innovation pipeline. Can you give us a sense of the scale of the innovation and activation plans that you have for 2026 compared to the previous year? In particular, could you give us some color on the launch pipeline in Energy drinks? Is it comparable to the 3 big launches that you had last year? And perhaps in Sparkling, it would also be great to hear if you're seeing any uplift in Italy's volume during the January month from the Olympics activations? That will be my first question.
Zoran Bogdanovic: Aron, on innovation, innovation pipeline is one of the drivers of our growth, and we are very happy that with both Coca-Cola Company and Monster Energy Company, there is a rich pipeline. So we have a number of innovations lined up for this year. Those will be very exciting flavor innovations, which, in some cases, are also coming with some partnerships. You've seen Lando Norris launch last year, which worked extremely well, and that will continue into this year with also some -- a couple of other innovations that I think will be better that we discuss when they are done. On Sparkling side, we are very excited with -- we think of it as innovation, which is Coca-Cola Zero Sugar Zero Caffeine with new graphics look and feel with excellent feedback from the market, and we see that performance of this variant within Coca-Cola trademark is igniting very strong growth. We've seen a strong growth last year, and it has been ramping up from quarter-to-quarter. Then, we will have further flavor innovations within our Adults, whether that's Schweppes or Kinley. Also, within Fanta, there are some very interesting things. And you will see some very exciting things in the way the activations will be for the Halloween, which becomes a very important part of Fanta activation. So I can -- then Powerade will be also coming up with some innovations, especially as you see that now Powerade goes so well together with the Coca-Cola brand in the sports activations, and the exciting and largest ever FIFA World Cup is ahead of us. So I can say, Aron, that we are pleased and confident that we have the right set of innovations. For us, it's very important that those innovations are driving incremental transactions, which are all delivered through very, very strong execution across all the markets. You asked also about Italy Olympics. Yes. Look, we started activating Olympics already last year in Italy. That gave us a great platform to activate and partner together with customers, driving joint programs. We've been just there last week and seeing excellent activation displays, consumer promotion, visibility, transaction driving mechanism. So I cannot single out how much is specifically because of Olympics, but I can really say that it's a very clear tailwind in what we have seen in Q4 and definitely what we will experience in Q1.
Aron Adamski: Great. That's very clear. And then my second question is on FX. Given where the current spot rates are, would you expect 2026 to see some transactional FX benefits in Africa? And in the context of easier COGS backdrop that we've seen more recently, how are you thinking about the balance of price with mix and volume following several years of very high pricing that you had in Africa?
Anastasis Stamoulis: Aron, let me take that one. As you have seen, we are providing our guidance. We expect a range of EUR 0 million to EUR 30 million of a headwind from translational effects. Obviously, we don't provide a transactional element, but that's well captured within our overall EBIT guidance. Yes, you mentioned the spot rates. Obviously, that's one part of the element, but we actually provide a range in the back of trying to assess our experience of a quite unpredictable environment when it comes to FX volatility, especially in the African markets. We are seeing positive signs in both economies, and there is significant inflows of foreign currency in those markets, will make FX availability easier and good signs. But as I said, that's why we provide the range across. Now, when it comes to balancing the pricing element in Africa, we always follow an adaptive and data-driven pricing strategy in those markets. We've also seen that this year, as we managed to adapt our pricing in relation to a lower inflationary pressure, a lower also FX volatility. We'll continue doing the same next year. And these are, of course, markets that we expect significant volume growth with a balanced pricing to adapt to the local market needs. So as always, nothing new.
Operator: We will now take the next question from the line of Matt Ford from BNP Paribas.
Matthew Ford: So my first question is just on the guidance, I suppose, the 7% to 10% like-for-like EBIT range that you've given for the year. I'd just be interested to just get your kind of take of the moving parts. How -- what do you see going right to get you to that 10% and potentially higher? And potentially, what could go wrong to get you to the lower end of that range? And then, I'll follow up with my next question.
Zoran Bogdanovic: Yes. Matt, yes, you're right. I mean, we're providing a range of 7% to 10% on organic EBIT. I think we need to remind ourselves this comes on the back of a strong EBIT delivery for 2025, which is the third consecutive year of double-digit organic EBIT growth and actually proves our capability to navigate in the environment and still consistently deliver despite what happens. Now, given the timing of the year, we're a little bit early, and considering that we do believe that the markets will remain in a certain uncertainty on the macroeconomic and geopolitical landscape, we believe that the current range reflects any type of movements on other direction. So, for example, on the lower end, you would expect a worsening of the geopolitical environment, which we have a spillover effect on consumer sentiment and further FX pressures with commodity inflation. While on the upper end, it's built on the back of a stronger momentum across the markets that materialized through the year should deliver also a stronger bottom line.
Matthew Ford: Okay. Great. And then my follow-up is just on Poland, naturally. I mean, Poland saw sequential improvement in Q4 following a fairly solid Q3. And obviously, in the first half of the year, you were still being impacted by the reintroduction of a competitor in a retailer in Poland. So I just want to get your sense of how much of this Q4 improvement should we see continuing into '26? And how do you think about the outlook for growth in that market in '26 and beyond?
Zoran Bogdanovic: Yes. Thanks, Matt. So let me first say that we are very pleased with the performance of Poland. When you see on a broader horizon of last 4, 5 years, we've done excellent, excellent progress in terms of volume, revenue, profitability as well as significant market share gains. And understandably, with the return of the key competitor into the largest customer, of course, this would have a temporary impact. That's why, when we also see our market share performance, excluding particular customer, we do see that our performance and share gains are there. And we've seen that also in the country. We see a good -- very good performance of Coke Zero, which is up low teens. And also, just to say that in Q4, overall, we gained share in Sparkling. We also see a very strong performance of Energy, which is driven by Monster. So all in all, we have strong plans, very strong team in Poland and at the back of this very good performance over the last couple of years. And in last year, what we've seen is a return to positive performance in Q3, and then, especially in Q4, we do expect and we will see positive performance and volume growth and revenue growth in Poland also in 2026.
Operator: We will now take the next question from the line of Simon Hales from Citi.
Simon Hales: So my first question, Zoran, really is around the performance of the Premium Spirits business. It was very strong in the year, Finlandia, performing particularly well in a tough environment for the wider spirits industry. I wonder if you could just talk a little bit more about what's drove -- or driven that relative outperformance versus many of your spirits peers? And how do you think about that Premium Spirits opportunity as we look into 2026? That's my first question.
Zoran Bogdanovic: Thank you, Simon. Look, overall, on like a helicopter review, Premium Spirits plays a strategic role in the overall portfolio, as it also strengthens our customer leverage. It provides a great blend in mixability. And that's one of the reasons why really Premium Spirits portfolio is performing well because it's not stand-alone consumption and activation, but it is also how we blend that in combination with our nonalcohol beverage portfolio, which clearly drives incremental transactions, which benefit both our non-alcohol part of portfolio, but also, of course, it benefits the Premium Spirits part of the portfolio. Secondly, we also are -- with all the partners, and I'll come back to Finlandia, with all the partners, we are increasing our penetration presence across the outlets, which means that we are increasing distribution and gaining share versus other brand companies in the market. We are also expanding a number of countries, where with Bacardi, we have increased when we started from 2, where we are now to 11 countries. So that scaling is also helping us to drive the business. And then Finlandia, we always believed that this brand has a great overlap with our territories, having 60% of its global volume across our territories. So when we took it over, we really wanted to give it a fresh kick to refresh the brand, give it more support. And that's why carefully crafted marketing campaign has been launched in April last year. And it was very well received, and it really accompanied great strong execution focus across the countries. So all that blended comes together that we are having another year of very good growth of Premium Spirits, which I want to remind also has a collateral benefit in driving the rest of the portfolio.
Simon Hales: Great. That's very clear. And then, my follow-up is really on the finance cost guidance for 2026 of EUR 25 million to EUR 45 million and if you could talk about the build of that. I mean, you obviously started 2025 with pretty high finance cost charge expectations of EUR 40 million to EUR 60 million, and you basically ended the year with almost a 0 finance cost line. Why is it going to be so different in 2026? I mean, how much of the guide that you put out this morning is related to the bridging cost finance for CCBA? How are you thinking about foreign currency losses for this year within that guidance?
Anastasis Stamoulis: Yes. Simon, so yes, I mean, we closed the year with EUR 1.1 million of finance cost, which was lower to our updated guidance and even lower to -- honestly, to our expectations. It was mainly driven by 2 key reasons. First of all, the greater currency stability that we had in the Nigerian naira as well as higher finance income. So if you look into next year and our guidance for next year, which is in the range of EUR 25 million to EUR 45 million, we expect a more normalization when it comes to the relevance of finance cost. Now -- so first of all, we assume ongoing income from our cash balances in Russia, which is positively contributing to the finance cost, of course. And on the other hand, we factored some higher finance costs in relation to renewing our finance structure, not related to CCBA at this stage. And of course, you rightfully mentioned the bridge financing cost, which is captured within our finance cost for the year, as this is already there. I want to remind us that this guidance does not include anything in relation to new debt for CCBA acquisition. This, of course, will be reflected, and we'll provide further guidance subject to the timing of the completion of the transaction. But I feel overall comfortable with the range that we are providing at this stage of the year and the visibility that we have.
Operator: We will now take the next question from the line of Nadine Sarwat from Bernstein.
Nadine Sarwat: My question is on CCBA. You announced the deal. It's been a couple of months now. And so I'm curious to hear over that time period, have you learned anything incrementally that you're able to share that makes you incrementally excited or perhaps additional areas where you see opportunities for improvement in the business?
Zoran Bogdanovic: So after the announcement in October, we have immediately proceeded with application across countries where this is necessary to be done to seek the regulatory approvals for the transaction. So we are now in the period where, a, we are not the owner, and we need to wait for those approvals, which we estimate to be obtained by the end of the year latest. So during this period, what we can do, and we started doing, is integration planning. So our functional teams, together with functional teams of CCBA, started working together on the preparations and planning, which then will be executed only once we get all the necessary approvals. But, to conclude, you said the word excitement. So that's exactly the right word with how we feel about CCBA. And if we felt excited at the day of the announcement, I would say that we just feel more excited now, and we can't wait to get started with these wonderful territories, which offer abundance of opportunities that -- behind which we want to invest to drive growth.
Operator: We will now take the next question from the line of David Roux from Morgan Stanley.
David Roux: Just on -- I've got a question on CCBA, and then, a quick technical follow-up. So you've spoken about the deal accretion in year 1. And then, in your prepared remarks there, you went on to further note you expect it to create shareholder value in the long term. Can you remind us of how this deal will affect your medium-term targets of 6% to 7% organic growth, and then, the 20 to 40 basis points of margin expansion? And then, just my technical question, on the phasing of organic growth for 2026, there was an extra trading day this past quarter. Can you remind us of the impact across the 2026 quarters from more fewer trading days?
Zoran Bogdanovic: Thank you, David. So on CCBA, very short, as we said last time, we will come back once the transaction is completed and approved. We will come back with our view on the guidance, and we will definitely take you through that. So for that, we simply need to wait that all the necessary things are done until then. And on the phasing, look, we have in Q1 4 more days, and that was in January. And we have, I think, 4 days -- or 3 days less in Q4. So that's why you will see that in Q1, we will see -- this will be reflected in the performance of Q1 and also somewhat balanced in the Q4. And for that reason, I think that informs how also phasing will be. I don't know if you want to add anything, Anastasis.
Anastasis Stamoulis: No, I think Zoran captured it well. You should expect to see a bit more -- that extra volume from the first half to flow down from the revenue to the P&L, not of course, to the full extent, as there is a level of investments that we mentioned before, like the Olympics. So a little bit more on the first half of the year. And just to add on the CCBA that we -- our assessment is that, of course, once the company -- the process is completed on a new rebase of margin, we do expect that we will be delivering within a line of our guidance of 20 to 40 basis points.
Operator: We will now take the next question from the line of Charlie Higgs from Rothschild & Co.
Charlie Higgs: My first one is on COGS per case inflation, which I think was 3.8% in 2025. I was wondering, Anastasis, if you could give any thoughts for 2026 because European sugar is looking pretty good; PET, likewise; electricity costs are a little bit all over the place. But can you just talk about what you're seeing there? And how hedged you are on key commodities? And then I have a follow-up, please.
Anastasis Stamoulis: Charlie, yes, actually, looking ahead for 2026, we are currently expecting COGS per case to increase in the low single-digit level. There is still some inflationary pressure in commodities like aluminum and PET, while as you rightfully said, there is some moderating trend in sugar. But as you know, we always follow a very robust hedging policy. And our current hedging coverage on key commodities, as we speak, is above 55% with higher coverage in sugar and aluminum, which basically means that any positive -- further positive trends in sugar will not be floating fully in the P&L, as the hedging position covers that. But we remain always focused on this with the hedging strategy and long-term contracts, and we continue to do productivity, and we'll reflect that as the year evolves.
Charlie Higgs: Great. That's very useful. And then, my follow-up is just on some of the leadership changes that are happening at KO. We've got James Quincey's last outing in a couple of hours after an amazing run. We've had in the last few months, a new Head of Europe and a new Head of Africa, and also recently, the company announcing a new Chief Digital Officer. So can you just kind of put all of these leadership changes together and summarize what you think it will mean for Coca-Cola Hellenic?
Zoran Bogdanovic: Charlie, so look, on the -- on that topic, I can say, first of all, we know very well all the leaders who are taking all the new roles. But let me first start to say that we believe that James has done phenomenal steering of the Coca-Cola Company and especially the way James and John and Henrique in their roles have done also gluing and bringing system so much closer together like never before. I really believe it is one of the reasons why the overall Coca-Cola system is working so well together and demonstrating such high performance. So -- and then preparation of this succession with Henrique, I think it's an exemplary case. We know Henrique really well as another phenomenal leader that we had privilege to have him on our Board, and we still do. But obviously, he will be stepping down given his new role. But we know that gave also the chance to Henrique to see Hellenic from up close. And we know that we share a strong belief in the system, in the business that we are in. And we also shared very bold ambition of how we all should think about future and how much more opportunities there are. And we will do everything from our side to support and work together in a flawless partnership that we have. And then, also 2 new leaders, both in Europe with Luisa and in Africa with Luis, excellent relationship, super strong leaders, growth mindset, drive to win, and above all, a great sense of partnership, attitude, approach that really inspires to do more better together. So -- I mean, you got me on a question that I could talk so much because we have really huge respect and trust and admiration for these leaders, and we are very privileged that we can work with them. And not to forget also Sedef, great choice of such experienced business leader to take such an important topic as digital transformation. And we already started, where with Henrique and John, we are having a Global System Digital Council, where now Sedef plays a very important role. So very exciting. And I'm very sorry, I don't have more time because I could really go on. But thanks a lot. I hope I answered your question.
Operator: We will now take the next question from the line of Mitch Collett from Deutsche Bank.
Mitchell Collett: You mentioned in the release some new AI capabilities that you've rolled out in 2025. And I think you say that it gives you better volume and also better revenue per case. So can you perhaps give a sense of the quantum of that uplift? And how quickly do you expect to be able to roll that out into other markets? And then, I have a follow-up.
Zoran Bogdanovic: Mitch, sorry, of all the AI because that's another one where I can go for hours, but -- did you ask specifically on the one that we do in Nigeria?
Mitchell Collett: Yes. I think that's the one where you say it gave you volume and revenue uplift.
Zoran Bogdanovic: Yes. Yes, absolutely. No, that's -- you picked a good one because the beauty of that is that, as we and also Coca-Cola Company, we are all stepping up our data analytics and AI. But the beauty of that is when we come together, and this is an example of a case where we combine consumer data and our customer data. Bottom line of that is who shops where. And based on that, we are segmenting so that we can have segmented communication execution based on profiles of consumer segments in which type of outlets. That's the essence of that. And we've seen based on the pilot, which was just under 4,000 outlets, gave us a very good performance, definitely a better performance in volume and revenue per case than the controlled set of outlets. And for that reason, we are expanding that throughout 2026 by more than tripling number of outlets where we will be spreading this. And more importantly, all the learnings that we get from this are the backbone of how we will be then taking this further to other markets together as a joint system team.
Mitchell Collett: That's great. And then my unrelated follow-up is just going back to the finance charges for this year. I think you say it includes the cost of the bridging financing. Can you just quantify how much that is? Apologies if you gave that earlier and I missed it.
Anastasis Stamoulis: Yes. Mitch, you mean this year, you mean for '26, right? Yes. So in Q2, we expect it to be low single digit.
Mitchell Collett: Millions, low single digits, euro millions.
Anastasis Stamoulis: Yes. Yes, yes. Very low single digit million.
Operator: We will now take the next question from the line of Richard Withagen from Kepler Cheuvreux.
Richard Withagen: First one is on RGM. As inflation normalizes, how should we think about your current RGM strategy? So what's the medium-term algorithm between price, pack architecture, promo intensity and mix to stay in a good balance between the revenue per case growth and volumes?
Zoran Bogdanovic: Richard, thank you for great question. So RGM, when I think of last 5, 6 years with everything we've been going through, I don't know how we would go if we didn't have RGM at the level that we have. This helps us in the situations of extreme conditions like we went with a very high inflation and how RGM carried us through all of that. And mind you, where on top of very strong price/mix, we have been able to deliver constantly positive volume, and that's attributed to the RGM, which takes into account so many things together. So going forward, in situation of a more stable inflationary environment, both in Europe and in Africa, this is where exactly all 3 drivers that you mentioned play a role. RGM is accounting and using end volume and price and mix. And for us, package mix, category mix are important drivers of how we are driving overall price/mix. We said for the last year that you will see more balanced play between volume and price/mix. And this is what happened. And we also estimate for -- and that's also what we estimate for 2026, where you will see even more balanced ratio between -- a combination between volume and price/mix. Now, just as the bottom line is that RGM, the core purpose, so it is to drive sustainable revenue and margin through well thought through initiatives that either tackle affordability or premiumization in every single market in their own unique way. And that's why this we call one of our prioritized bespoke capabilities behind which we are constantly investing just to get constantly better, better and raise the bar. I hope I answered your question.
Richard Withagen: Yes, that's very clear, Zoran. And then my follow-up, maybe more for Anastasis, but -- you made some investments in inventories in the past few years, which I guess makes sense given the volume growth of the business. Now, in 2025, inventories actually declined year-on-year. Did you have any specific initiatives around inventories or around the broader working capital? And what can we expect going forward?
Anastasis Stamoulis: Richard, thank you for the question. First of all, you mentioned the overall working capital cycle, and we are pleased how we are managing this in order to contribute to the overall free cash flow generation. Inventories have always been a focus area together with receivables, where we are making very good progress on actually keeping lowest possible overdues as a percent of receivables. But inventories as well has been a focus and part of the areas that we are working with supply chain to ensure the necessary requirement. Of course, the priority is about delivering in the market and ensuring availability, and we'll continue to do that. But I want to underline that I'm very pleased with the free cash flow generation as a combination of what has been driven from the profitable growth, the working capital cycle, while we created the space to continue to invest in our CapEx that fuels the future growth. So, yes, good progress there, and we'll continue to focus on this and keeping these levels of free cash flow generation.
Operator: We will now take the last question from the line of Laurence Whyatt from Barclays.
Laurence Whyatt: Just one for me, please. Just following up on one of the previous questions. I think you mentioned that you're going to have a bit of a more balanced split between volume and price/mix as you look at your guidance this year. Just wondering if you could confirm that that's what I heard, if you're expecting it to be around sort of 50-50 between the 2?
Zoran Bogdanovic: Laurence, yes, you heard well where we say that it's going to be more balanced play between the 2. This really depends on every country. It may be that somewhere it's 50-50, it can be 60-40, it can be 40-60. So this is really hard to predict now. But in our algorithm, and as we think about '26, we do see that end volume and price and mix will play a role. And yes, it's going to -- we see it to be in a more balanced way.
Laurence Whyatt: Just to split it up between your 3 divisions, I'm assuming that the majority of the improved volume is coming from the emerging region. Or is there any other areas you would expect a material step up?
Zoran Bogdanovic: Yes, it's logical that more volume to come from the Emerging segment. Absolutely. You're right.
Operator: There are no further questions at this time. I would like to hand back over to the speakers for closing remarks.
Zoran Bogdanovic: Well, thank you, operator. And I just want to thank everyone for taking the part in today's call and all the questions and good conversation, and we look forward to speaking with you soon. Thank you very much, and goodbye.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.